Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Paramount Group's First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Please note that this conference call is being recorded today, May 1st, 2025. I will now turn the call over to Tom Hennessy, Vice President of Business Development and Investor Relations. Please go ahead.
Tom Hennessy: Thank you, operator, and good morning, everyone. Before we begin, I would like to point everyone to our first quarter 2025 earnings release and supplemental information, which were released yesterday. Both can be found under the heading Financial Results in the Investors section of the Paramount Group website at www.pgre.com. Some of our comments will be forward-looking statements within the meaning of the federal securities laws. Forward-looking statements, which are usually identified by the use of words such as will, expect, should, or other similar phrases are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Therefore, you should exercise caution in interpreting and relying on them. We refer you to our SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial condition. During the call, we will discuss our non-GAAP measures, which we believe can be useful in evaluating the company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available in our first-quarter 2025 earnings release and our supplemental information. Hosting the call today, we have Mr. Albert Behler, Chairman, Chief Executive Officer, and President of the company; Wilbur Paes, Chief Operating Officer, Chief Financial Officer, and Treasurer; and Peter Brindley, Executive Vice President, Head of Real Estate. Management will provide some opening remarks, and we will then open the call to questions. With that, I will turn the call over to Albert.
Albert Behler: Good morning, everyone. Thank you for joining our call today. Since we last spoke, we have experienced great momentum, and I'm excited to share our first quarter results. We are off to a strong start in 2025. Yesterday, we reported core FFO of $0.17 per share for the first quarter, exceeding consensus by $0.01. From an operational standpoint, we also had an outstanding quarter in leasing. We executed leases totaling approximately 284,000 square feet, marking our strongest first quarter of leasing since 2019. This momentum is a testament to the tremendous effort of our leasing team. The strength of the portfolio and the demand for high-quality space in our submarkets. Our pipeline remains in excellent shape, and we are well-positioned to continue this positive trajectory throughout the year. It is important to recognize the recent shifts in the broader economic environment as we discuss our performance. Despite these shifts, we have not experienced any disruption to our leasing activity over the past month. The resilience of our portfolio and the strategic locations of our properties continue to attract strong interest from high-quality tenants. In New York, the Manhattan office market showed significant improvement during the first quarter of 2025, as according to Cushman & Wakefield, new leasing activity reached the highest quarterly total since fourth quarter 2021. This surge was driven by demand in Class A office space, which comprised approximately 82% of total activity. Within that citywide leasing, financial services tenants represented over half of new leases, 10,000 square feet and greater. We at Paramount are also seeing strong interest from a wide variety of tenants, including the financial and legal sectors. This demand reaffirms our conviction in the long-term appeal of our high-quality, strategically located space in New York's core submarkets. These market trends align well with our portfolio. We captured our fair share of leasing in New York, where we leased approximately 278,000 square feet. Additionally, we have a very robust leasing pipeline remaining. Peter will cover this in more detail shortly. During the quarter, we signed a significant new lease and subsequent expansion with Kirkland & Ellis at 900 Third Avenue totaling 179,000 square feet, improving the leased occupancy of the building over 20 percentage points from 68.9% to 90.2%. This lease represents a major expansion of Kirkland & Ellis, the largest law firm in the United States by gross revenue, and the new space will support their continued growth. This transaction also underscores the improved demand profile for high-quality office space in Midtown East and highlights the strategic value of our properties. The lease strengthens our portfolio and demonstrates our ability to attract and retain top-tier tenants in competitive markets. We are already off to a good start in the second quarter with additional leasing momentum. As announced, we recently signed a significant new 121,000 square-foot lease with the law firm Benesch at [13016] (ph) Avenue. This new lease, located on high floors achieved strong rents and will bring [13016] (ph) Avenue to 90% leased. As we have emphasized in previous calls, the flight-to-quality remains a consistent theme in the market. With tenants increasingly focused on premier buildings in Midtown, our portfolio is benefiting from this trend, bolstered by the Paramount Club, which continues to be a significant differentiator in the market. This amenity has proven transformative, not just in attracting new tenants, but in fostering a vibrant workplace community that enhances tenant satisfaction and retention. In San Francisco, while the market continues to trail New York, we remain optimistic about its recovery. The leasing activity in San Francisco already has started to show very positive momentum this quarter. The evolving political landscape in San Francisco is fostering a more favorable business environment, stimulating demand for office space. Our portfolio in San Francisco is well-positioned to capitalize on the city's status as a hub for tech innovation and its leadership in AI-focused venture capital funding, which underscores its potential for recovery. We anticipate that tenants will continue to prioritize high-quality, well-located office space further enhancing the appeal of our properties. Our focus remains on maintaining strong tenant relationships and securing renewals, ensuring that our portfolio is ready to meet the needs of existing and prospective tenants as demand increases. Turning to our capital allocation activities, we continue to substantiate via the private market the underlying values in our portfolio. During the quarter, we closed the sale of a 45% interest in 900 Third Avenue, raising approximately $95 million in net proceeds. This transaction valued the property at $210 million or $354 per square foot. We retain the remaining 55% interest and we will continue to lease and manage the property. With that, I will hand over to Peter.
Peter Brindley: Thank you, Albert, and good morning. During the first quarter, we leased approximately 284,000 square feet, a majority of which occurred in New York. The weighted average term for leases signed during the first quarter was 12.9 years. At quarter end, our same-store portfolio-wide leased occupancy rate at share was 86.2%, up 140 basis points from last quarter. In both New York and San Francisco, tenants continue to prioritize premier, centrally located amenity rich buildings. We remain laser-focused on further developing our tenant relationships, delivering market-leading amenities and added conveniences to our tenants, securing renewals for upcoming lease expirations, and filling our vacant spaces. During the first quarter, approximately 60% of our leasing activity occurred on vacant space, 24% on space scheduled to expire in 2025, and the balance served to derisk lease roll in 2026 and 2027. Our pipeline of prospective tenants continues to expand, especially in New York, where improving market dynamics in Midtown's core submarkets combined with our market-leading amenity offering at the Paramount Club have helped generate significant momentum. Our pipeline in both New York and San Francisco currently contains more than 375,000 square feet of leases in negotiation, more than half of which are for vacant space and the balance for space scheduled to expire in 2025 and 2026. Additionally, we have advanced-stage proposals being negotiated for more than 150,000 square feet. Beyond that, our pipeline continues to grow as evidenced by the increasing number of proposals we are exchanging. Turning to the New York market. Midtown remains the most active of Manhattan's three major markets. Midtown's leasing activity during the first quarter reached more than 4.8 million square feet, exceeding the five-year quarterly average for the sixth consecutive quarter. Increased demand, coupled with planned conversions of select office buildings and little-to-no new development, is leading to a scarcity of high-quality availability in Midtown's premier buildings. We continue to gain momentum as evidenced by our pipeline and expect the ongoing absorption of space in our submarkets will support increased leasing and improved deal economics in the year ahead. The first quarter in New York was largely defined by the completion of a significant new lease with Kirkland & Ellis for 179,000 square feet at 900 Third Avenue. The transaction is a testament to the quality of 900 Third Avenue and serves as yet another example of the New York office market's ongoing resurgence. In addition, and subsequent to quarter-end, we signed a new 121,000 square-foot lease, 30,000 square feet of which is short-term with the law firm Benesch at 1301 Avenue of the Americas, one of the most active buildings in our portfolio. This takes our leased occupancy rate to 90%, and given current activity on vacant floors at the building, we would expect additional occupancy gains in the coming quarters. At quarter-end, our New York portfolio is currently 87.4% leased on a same-store basis at share, up 240 basis points from last quarter. Our lease expiration profile in New York is manageable with approximately 255,000 square feet or 4.7% at share expiring by year end. Shifting to San Francisco, market-wide leasing activity continues to steadily improve as Q1 marked the strongest first-quarter of leasing activity since 2019. San Francisco employees have been returning to the office at an increasing rate as more tech companies modify their workplace policy to be more office-centric. Remote job postings are declining, and as we have seen in New York, return-to-work on a larger scale in San Francisco will drive increased leasing activity in 2025 and beyond. During the first quarter, AI-based companies accounted for approximately 20 deals totaling more than 275,000 square feet and have become an increasingly large percentage of the tenants in the market profile as they continue to raise significant venture capital funding. In fact, more than half of the AI-based tenants that transacted in the first quarter are new to the market, highlighting San Francisco's growing importance as an AI hub. While overall market conditions remain challenging given elevated supply, there continues to be a steady uptick in leasing inquiries and tour activity, which have increasingly led to proposals and transactions. Subsequent to quarter-end, we signed a new 32,000 square-foot lease with a leading law firm on Google floors at One Market Plaza and look forward to welcoming them to the building. We remain focused on our known move-outs, notably the ongoing backfill of Google space at One Market Plaza and the portion of JPMorgan space at One Front Street that expires this year. Plans are currently being developed to deliver exceptional amenities at both One Market Plaza and One Front Street, leveraging our experience from the Paramount Club. We are confident that our amenity plan will resonate with existing tenants and prospective tenants alike. At quarter end, our San Francisco portfolio was 82.3% leased on a same-store basis at share, down 150 basis points from last quarter. As we've discussed on prior calls, our lease expiration profile in our core portfolio in San Francisco is significant with 490,000 square feet or 27.7% expiring at share in 2025, approximately 80% of which is comprised of Google and J.P. Morgan. With that summary, I will turn the call over to Wilbur, who will discuss the financial results.
Wilbur Paes: Thank you, Peter, and good morning, everyone. Yesterday, we reported core FFO of $0.17 per share for the first quarter, which was $0.01 above consensus estimates. First quarter same-store growth was negative 4.1% on a cash basis and negative 5.4% on a GAAP basis. Our first quarter financial results are trending in line with our expectations, and therefore, we are reaffirming our earnings guidance that we put out back in February. During the first quarter, we executed 12 leases for a total of 283,874 square feet at weighted average starting rents of $76.52 per square foot and for a weighted-average lease term of 12.9 years. Mark-to-markets on 81,707 square feet of second-generation space was negative 1.5% on a cash basis and positive 7.1% on a GAAP basis. At quarter end, the leased occupancy rate of our same-store portfolio was 86.2%, up 140 basis points from the prior quarter, with New York at 87.4%, up 240 basis points, and San Francisco at 82.3%, down 150 basis points. Based on our year-to-date results and our outlook for the remainder of the year, we are increasing our leasing guidance to now be between 900,000 square feet and 1.1 million square feet, representing an 11% increase at the midpoint. In addition, we are increasing our same-store leased occupancy guidance to now be between 84.4% and 86.4%, representing a 50 basis point increase at the midpoint from our prior guidance. This, of course, is driven by our New York portfolio. As I said during our last call, the occupancy of our New York portfolio has bottomed out, and with increasing velocity and a modest lease roll, we will continue to drive occupancy. Also, as previously highlighted, leased occupancy in our San Francisco portfolio will deteriorate further in the near-term before improving, driven by the sheer magnitude of lease expirations in the upcoming quarters. Turning to our balance sheet. In January, we sold a 45% interest in 900 Third Avenue. The sale resulted in net proceeds to the balance sheet of approximately $95 million, bringing our quarter-end cash and restricted cash balance to $499.3 million. Our debt at quarter-end, excluding debt on non-core assets, amounts to $3.25 billion at a weighted-average rate of 4.26% and a weighted-average term of 2.6 years, 73% of this debt is fixed with a weighted-average interest rate of 3.51% and a weighted-average term of 3.1 years. The remaining 27% is floating with a weighted-average interest rate of 6.28% and a weighted-average term of 1.4 years. If you factor interest-rate caps, our floating-rate debt is reduced from 27% to less than 1%. Other than the debt on non-core assets, we do not have any debt maturing in 2025. We have $1.5 billion of debt maturing in 2026, the largest of which is the $860 million loan on 1301 6th Avenue. The building is performing exceptionally well and is now 90% leased and climbing. The debt markets for high-quality assets like 1301 is liquid, notwithstanding the recent turbulence in the macro-environment. We will monitor the markets and opportunistically look to derisk our 2026 maturities. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Your first question comes from Manus Ebbecke with Evercore. Please go ahead.
Manus Ebbecke: Great. Good morning, everyone. Thanks for taking the question. The first one, I wanted to just touch on high-level on capital uses and sources. With the stock obviously trading where it is, what do you -- what should we expect kind of like going forward in '25, and maybe see more of transactions like 900 Third Avenue or just maybe help us think through on like a more broader high-level what you kind of like are aiming for here?
Albert Behler: Hey, Manus. This is Albert Behler. As we had mentioned before, we want to be considering all the options and remain disciplined for sure and opportunistic, so if there are opportunities like the one we had at 900 Third, we are definitely looking at that because it's helpful for us. We want to maintain flexibility and continue to develop our great relationships, especially abroad, and do the best for the shareholders with those relationships.
Manus Ebbecke: Thanks. I think that makes sense. And then maybe one question, was interesting to hear that you talked about the 32,000 square feet law firm that signed for the former Google floors at One Market Plaza. Could you maybe, to the extent you can share, talk about the rents, maybe the concessions or the timing for that specific tenant to decide to go to one marketplace, but congrats it's a good win for the building?
Peter Brindley: Thanks, Manus. This is Peter. We are seeing a lot of activity from law firms that are looking to upgrade the quality of their real estate and we're trading paper with several at one market. This particular law firm, we're really very proud to welcome to the building. The upper floors, I would say, generally command rents in excess of $120 a foot. Certainly, view space and a building of One Market's quality is commanding real interest. And so in any event, we were able to announce this subsequent to quarter end to give you the idea that we are starting to make progress. As I mentioned in my prepared remarks, we are starting to see and have more constructive conversations with the brokerage community. In San Francisco, tour activity is up, proposals are starting to percolate, and so we're generally starting to feel better about the activity levels in San Francisco, but that was certainly a nice win for the building, and we look forward to sharing more in the quarters ahead.
Manus Ebbecke: Great. That’s all from me. Thank you.
Albert Behler: Thank you.
Operator: Next question, Blaine Heck with Wells Fargo. Please go ahead.
Blaine Heck: Great. Just following up on that last question. I guess, can you just talk a little bit more about San Francisco? It sounds like you guys continued to see good activity in that market in the first quarter. I guess, has any of that momentum stalled with the current uncertainty in the market? Peter, you just talked about the activity at One Market, but can you touch on any activity you guys have at One Front? And then more broadly, I guess, how do you think about your commitment to that market over the long term? I guess, is there any scenario in which you'd sell down your exposure there like you did in DC, and kind of just focus on New York?
Albert Behler: Blaine, let me start with this. We have, as you said now, transferred a lot of assets from lots of investments that we had in DC, I think in a prudent manner in time, and early into San Francisco. San Francisco is clearly a different market than DC that has long-term structural issues. In San Francisco, I am still cautiously optimistic. The team spent nearly a week in San Francisco, including myself. We had meetings with the local authorities. You know that the mayor changed and the administration, and there's a totally different attitude towards business. I had a personal meeting with the mayor and his Head of Housing, Ned Siegel and they are committed to clean up the city, make it safe, it is their first goal and working with the business community with the large employers with whom they are well-connected to come back into the city, similar to what had happened here in New York. And we have said on previous calls, that San Francisco will be behind New York because it's a different kind of business environment. The technology firms reacted to the pandemic differently. Some of them thought they can work from home forever, but they're realizing as well that of the return to the office is beneficial for their business in general. So we have already seen, and Peter can go into more details, you don't see that yet in the numbers. But we have seen much more leasing activity in the market with our various assets. So, it might take a little time as it took here in New York, but it looks like it's turning around to the positive. And you had asked a question about the tariff discussions, we don't see an impact on that at all for the time being in the market.
Blaine Heck: Okay, great. That's really helpful and sounds great. And then I appreciate your commentary and transparency again on the 2025 move-outs and upcoming expirations, but wanted to ask if you could give an update on any activity you have at Showtime, Visa, any other large spaces that are facing expirations in '26.
Peter Brindley: Sure. So, Blaine, this is Peter. We've discussed that 70% of our lease roll in San Francisco is comprised of Google and J.P. Morgan. That's in '25. You asked about '26, and I think the big moving parts in '26 in San Francisco specifically are Morgan Lewis, Autodesk, Visa. We know that Morgan Lewis and Visa will move out. We are in advanced discussions with a tenant for a portion of the Visa space currently, so that backfill has started. And that -- what I'm now referring to is a portion of the leases in negotiation pipeline that I did mentioned in my prepared remarks. And so we are making progress there. As it relates to Showtime in New York, that is, of course, our most significant known move out in 2026. We're trading paper with two or three tenants of size for that large block. When you look at what's happening in Midtown specifically, there are few blocks of this size, certainly of this quality, and the block of course, is at 1633 Broadway that I'm referring to, the roughly 250,000 square foot Showtime block, and so while that space does come back to us in January of '26, we are optimistic with regard to the activity level we have on the building, but it really is too soon at this point to share anything more than that.
Blaine Heck: Okay. Thanks, Peter. Last one for me, maybe for Wilbur, just touching on guidance, your leasing volume and lease rate guidance were adjusted upward, but no change in same-store NOI guidance, is that just due to kind of the delayed commencement of leases that you're expecting, transferring into occupancy or are there any other kind of moving pieces that we should be aware of?
Wilbur Paes: Blaine, it's primarily that there are a couple of moving pieces. We're trying to be very measured here with the guidance as we always have. We gave out guidance two months ago. We're sitting here in March, I think you will see that refined and probably to the better as we move on with the activity we see right now and what's in the pipeline.
Blaine Heck: Great. Thank you, guys.
Albert Behler: Thank you.
Operator: Next question, Dylan Burzinski with Green Street. Please go ahead.
Dylan Burzinski: Hi, guys. Thanks for taking the question. Maybe just sort of continuing on the trend of the improvement in leasing volume return activity that you guys are seeing, not only across New York now, but San Francisco, can you sort of talk about that, specifically related to some of the larger tenants? Are we starting to finally see these tenants come back and look to take down space, especially in San Francisco?
Peter Brindley: Yeah, Dylan, this is Peter. I'll start. You asked about New York. I'll tell you that the competition for space, certainly in premier buildings in the core submarkets of Midtown is the most obvious theme that we're feeling. That is the force that is driving this market. And certainly, there are large tenants that are really very active in Midtown specifically. As Albert said and I touched on, San Francisco is certainly beginning to heal and recover. There's a lot of reasons to feel good and acknowledge that there are in fact some green shoots. It's still early. But in the most recent quarter, we did see some deals of size happen. And so we are starting to see more activity. And I think it's not just tech companies. We've seen financial services and law firms of varying sizes. And so, this most recent quarter was the best quarter that San Francisco has realized since the first quarter of 2019. And while it's one quarter, and we directionally -- we feel that directionally the market is moving in the right direction because of not only what we're experiencing by way of the results that have now been posted, but we're seeing out in the field, day-to-day with the types of conversations we're having with the brokerage community.
Dylan Burzinski: Appreciate those comments, Peter. And I guess just that demand you talked about in San Francisco, would you characterize that as like net-new demand in terms of new tenants in market or expansionary space? Or is that more sort of musical chairs and more representative of tenants wanting to move out of quote-unquote, maybe a more commodity building into a higher-quality building that a Paramount might own?
Albert Behler: We're seeing a lot of law firms that are looking to upgrade the quality of their real estate. I think where we're seeing net new tenants enter the market would be the AI-based tenants. As I mentioned in my remarks, more than half of the deals that occurred in the first quarter, there were 20 deals, AI deals, if you will, more than half of them were new to the market. And so we are seeing tenants that quite honestly, we have to research when we identify who in fact they are. And so there is a lot of new tenants finding their way into San Francisco which are, like I said, predominantly AI-based tenants. They continue to be recipients of enormous amounts of venture capital funding. They certainly acknowledge the importance of the office. They subscribe to in-person work, and they are becoming increasingly active in a larger part of the tenant in the market profile in San Francisco.
Dylan Burzinski: Appreciate the details. Thanks, guys.
Albert Behler: Thanks, Dylan.
Operator: [Operator Instructions] Next question, Tom Catherwood with BTIG. Please go ahead.
Tom Catherwood: Thank you and good morning, everybody. Great to see the progress in Manhattan in both in 1Q and thus far in 2Q. Are the Kirkland and Benesch leases all on vacant space? Or are you taking back some space or moving tenants around to get those deals done?
Peter Brindley: Hi, Tom, this is Peter. I want to say that Kirkland was a rough -- in excess of 100,000 square feet on vacant space. So it not only solved for vacant space, but served to derisk lease roll. The Benesch transaction, which we announced this morning was comprised of the following, about 30,000 square feet on vacant space, 60,000 square feet that's scheduled to expire in the fourth quarter of this year, and 30,000 square feet on space that's scheduled to expire in the latter half of 2026.
Tom Catherwood: Got it. Appreciate that. And then, Peter, you had mentioned the shrinking pool of quality available office space in Midtown, are you starting to see tenants coming to you earlier in the renewal process to try to lock in their space than they have in years past? And does that allow you to start pushing rents here?
Peter Brindley: Yeah. I think with every tenant, it's a little different. I do think the fear of loss has kicked in and I think that's largely what's causing tenants to engage. We recognize that of the, call it, 40 million square feet in Midtown, 80% of it is on floors 24 and below, and so if you happen to be leasing a high-quality building as we do, of course, you certainly have pricing power on upper floors. There's just not a lot of availability on upper floors in our market here in Midtown. And so yes, we do recognize that we have pricing power. We are pushing when and where we have availability on upper floors, and we're seeing the results now.
Tom Catherwood: Got it. And then last one for me, following up on Blaine's San Francisco question. Yesterday, one of your peers expressed concern that the first quarter leasing pickup was more of a one-off with a number of large requirements landing at once, but demand behind that primarily concentrated in small to mid-sized tenants. Do you agree with that? And has your pipeline recently changed as large leases have signed elsewhere?
Peter Brindley: There were certainly some several large transactions done in the first quarter, Google, J.P. Morgan, DataBrix, and I would also say that a lot of these AI-based companies are smaller in nature, not all of them, but a lot of them given where they are in their evolution. I don't know that that rules out larger opportunities. Certainly, we are having conversations with tenants of size. And so I think in terms of demand, I would say that there still remains a nice range of requirements currently in the market. We call the sort of tenant in the market, pipeline in San Francisco to be roughly 7 million square feet, and it's made up of tenants of varying sizes.
Tom Catherwood: Got it. Appreciate all the answers. Thanks, everyone.
Peter Brindley: Thanks, Tom.
Operator: I would like to turn the floor over to Albert Behler for closing remarks.
Albert Behler: Thank you. Thank you all for joining us today. We look forward to providing an update on our continued progress when we report our second quarter 2025 results. Goodbye.
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.